Feiqi Mei: Dear investors, analysts and media friends, good afternoon. Welcome to the BOC 2020 Business Annual Results Presentation. My name is Feiqi Mei, I'm Board Secretary of BOC. Today, together with Mr. Zhou Chengwen, who is the Head of the General Affairs Office of the BOC and the spokesperson for BOC, we'll be the moderator. We have 2 moderators.
 Let me introduce to you the very important people with us. We have Mr. Liu Jin, President Elect. Also, we have Vice President, Wang Wei; VP, Lin Jingzhen; and VP Elected [indiscernible], and the Chief Information Officer, Liu Qiuwan. Because of the need for prevent and control the pandemic, this year, we'll continue to have the online session after the press release for the benefit of our investors, analysts and media friends from home and broad. 
 Let me first give the floor to our new President, Liu Jin, to introduce to us our business results last year. Later, we will have a Q&A. And so I will moderate the part of the Q&A with investors and analysts while Mr. Zhou will chair the Q&A session with media friends. We hope your friends will not replicate each other so that we can inspire and to more and share with each other. And a lot of our friends recently are releasing their annual results for 2020, and I know many of our friends here are very busy writing research reports, press releases. It's not easy. And so a lot of investors today, I think, will be connected to the BOC official website and mobile banking app for the live streaming. Here, again, many thanks and gratitude to our friends. 
 Ladies and gentlemen, our 2020 business annual results already have been published. And so for the PPTs, you can download it from our official website or you, can look at the PPTs on the live streaming webpage. Also, I need to remind you that our financial data all conform to the rules of international financial reporting if there are not specific different arrangements. 
 So now let me give the floor to our new President, Liu Jin, to give us the highlights of our 2020 business results, the situation of development of the business and also priorities for the next year. 
Liu Jin: Thank you, dear investors, analysts and media friends. Good afternoon. I will give you the highlights of the 2020 business results of BOC. 
 Last year, it was the year enduring enterprise [indiscernible] struggling through challenges. It was the year of better execution of our strategy. It was also a year of uncut harvest, overcoming multiple difficulties and balancing the need to prevent and control pandemic and also managing business development. 
 BOC last year made a steady progress in our results. And so it was  further upgrading of the comprehensive competitiveness. In terms of business results, last year, our revenues were CNY 567.65 billion, up 3.21%. Preprovisioning profit, CNY 365.24 billion, up 3.84%. The posttax profit, CNY 205.1 billion, up 1.59%. For the financial indicators, our NIM income was CNY 415.92 billion, up 6.63%. In fair media and [ commission ] fees, CNY 75.55 billion (sic) [ CNY 75.52 billion ], up by 2.32%. Cost income ratio was 26.73%, down by 1.27 percentage points. 
 It was a steady optimization of the asset structure. Total assets increased by 7.17% to CNY 24.4 trillion. The client loans were up by 8.78% to CNY 14.2 trillion. Domestic RMB loans increase was the highest in history while the proportion of the medium to long-term loans continue to go up. 
 Also, with a steady improvement of the liabilities, liabilities went up by 6.96% to CNY 22.2 trillion. Domestic RMB loan deposits increment was the best in recent years. Personal deposits and corporate deposits went up by 10.69% and 7.08%. 
 Our asset quality was stable. NPL ratio was 1.46%. Special mention, balance and ratio both went down. The provisioning  coverage ratio was at a stable level. At the same time, we made a better use of our inherent capital generation capability and external capital. Our CAR went up by 0.63 percentage points to 16.22%. And so the year 2020 by enhancing execution and by stimulating vitality, responding swiftly and achieving breakthroughs in key areas, we largely did a good job in terms of business management and completing the 13th Five-Year Plan. 
 First, we made new contributions to serving the tangible economy at the national strategy. Domestic  RMB loans went up by 12%. More loans went from key regions and cities for the Beijing-Tianjin-Hebei and Yangtze River Delta and Greater Bay Area loans then went up by 16.21%. We focus more upon 2 new and 1 heavy industries, advanced manufacturing consumption, digital economy, green finance. And loans to advance the manufacturing went up by 20%. We also supported foreign trade and FDI. International settlements were USD 5.75 trillion, up by 10.68%.
 We are the market leader in terms of the international settlements market share among domestic institutes, and also we are the leader in terms of cross-border guarantee business. After the outbreak of the pandemic, BOC provided more financial anti-pandemic products and services such as specialized favorable loans with affected business risk and also better financial financing settlements and online services to the affected businesses. We also provided more loans to green refinance, especially in the areas of clean energy, environmental protection, energy protection, green transport. And so the proportion going to green finance increased. We also greatly supported poverty alleviation and -- by loans for better purpose increase that we helped support country's efficiency and 1,034 villages in the country to go out of poverty. 
 Thirdly, we also carried out comprehensive reforms. We carry out more than 50 major reform programs with more than 200 reform objectives, and there were breakthroughs in key regions and areas. In terms of our personal finance, corporate finance as well as liability management, globalized development, comprehensive operation and researches systems, we made significant reform breakthroughs. And we also made better progress in the reforms of the enterprise-level architecture, smart operations, outlet transformation, data governance, comprehensive risk management. We also increased our governance capability and enhanced vocational training and corporate culture development. 
 Fourthly, business transformation. In terms of the personal finance architecture reform, the reform was very effective. And so there was in-depth progress after the full process digitalization transformation. And our business model tries to cover more clients' AUM. And in terms of the corporate finance, the foundation was further strengthened and -- to deal with a steady progress of corporate deposits and loan structure, and to deal with a steady progress of a global trade and banking platform development. We are still the leader in terms of the foreign currency trading and settlements. And also, we are the leader in terms of the cross-border custody and underwriting for Panda. 
 Fifthly, globalized comprehensive business developments. There is the theme of BOC. We have already covered 61 countries and regions with more intensified and regionalized managements. We are comparable to international counterparts in terms of our global network. And also, we are the #1 among Chinese banks in terms of the share of the profits from overseas business. We are #1 in terms of cross-border RMB business. We also take the lead in terms of syndicate loans, merchant acquisitions and other high-end structural financing. And so we also have countless synergies and connectivities between the different parts of our business. And so we continue to be the leader in terms of the number of operational licenses we have got. 
 Sixthly, more technological innovation. We continued, last year, to promote architectural -- enterprise-level architectural developments. And we put more emphasis upon the business digitalization, scenario equalization and technological platform development. Four strategic scenarios made more progress in terms of cross-border, education, sports and the elderly people services. As a result, we have more access and service capabilities for our clients. We also have upgraded our mobile banking and online services. 
 Seventhly, the risk compliance and the management. So we have intensified asset quality monitoring. We have carried out multiple rounds of risk screening to better dispose of and collect NPLs. And so the concrete -- credit authorization management system has made good progress. We also did a great job at intensified AML and sanction compliance. And in terms of liquidity risk and market risks and other indicators, we have stable operations. 
 This year is the beginning of the 14th Five-Year Plan. And so we will continue to make a steady progress by overcoming to the new challenges. We will do the following. First, we will continue to serve a tangible economy and focus upon supply side structural reforms. We will continue to support the development of FinTech, inclusive financing, green finance, wealth management, cross-border financing, consumption financing and country-level financing. Second, we invest more in key regions and markets so as to improve competitiveness and have connected development. Furthermore, we will continue to strengthen our advantages in terms of globalized and comprehensive services. Fourthly, more digitalization. We will continue to push forward the progress of an enterprise-level architectural development, scenario development, data governance, smart operations, et cetera. Fifth, we continue to have a comprehensive resource management. 
 Ladies and gentlemen, on the basis of completing the objectives of the last month of strategic development, we're now ushering a new year to make even more progress in building BOC a world-class modern banking group. We will speak to the President Xi Jinping thinking about socialism with the Chinese characteristics in the new era. We will continue to make domestic commercial banking as the main stay of our business while we continue to grow our globalized and comprehensive banking and financial services. 
 We will revitalize our energy response swiftly and achieve breakthroughs in key regions and areas so that we can make greater values to shareholders, clients, employees and the whole society. Thank you. 
 Now we go into the Q&A. So we will have a first Q&A from the investors and analysts. For the interest of time, I think each should ask just one question. And before that, please identify yourself. 
Operator: [Operator Instructions] 
Richard Xu: I'm from Morgan Stanley. My name is Ran Xu. I have a question which is quite macro because after the end of the 2 sessions, we have witnessed the 14th Five-Year Plan. And I think that we have new development goals.
 So as a commercial bank, I'd like to ask from BOC's perspective, what is your plan to support the 14th Five-Year Plan implementation? And also, during the process, BOC, what kind of the role will you play? And how do you plan your business? 
Feiqi Mei: Thank you, Xu Ran, from Morgan Stanley. Thank you very much for your question. And this is very good question with a very strategic view. And even though our President Liu Jin, just gave us the introduction, and now I'd like to give the floor to Mr. Liu to answer first question. Please, the floor is yours. 
Liange Liu: Thank you, my friend from Morgan Stanley. I have -- it's a long time that I haven't do business directly with Morgan Stanley, but our contact continues. I participated in your 20th anniversary of the business operation in China. Thank you for your question. 
 We know that 14th Five-Year Plan is our new indicator, new century goal implementation. And this is the first five-year for us to start our plan. And in the historical level, as a big commercial bank of China, we pay high attention to the top design. From last year on, we start our formulation of the 14th Five-Year plan for Bank of China. And a few things -- a few days, our Board meeting has approved BOC's 14th Five-Year Plan. That's the draft. And we are now in the process of revising our 14th Five-Year Plan draft. 
 And generally speaking, in terms of the vision for BOC, we will build a first-class modern banking group, and we have one body, two wings strategy. During the 14th Five-Year Plan, we will focus on 7 major areas. In terms of the developmental strategy, we will focus more on the digital transformation and risk prevention and management.
 Talking about the 14th Five-Year Plan of China and BOC's development, there are some key words I'd like to use to answer your question. First one, as I mentioned, is one body, two wings. That's our strategy for BOC, meaning that we will just serve the new developmental structure, and we will build a new year first-class modern bank. We hope that we could have a more optimized comprehensive business provision with better quality, better efficiency, better control of risks and bigger influence as well, let's say, better environment for our staff to develop. And we'd like to become a bank connecting domestic and international circulation to support our due circulation strategy of China. Coupled with the uniqueness of BOC, we have this one body, two wings strategy. The one body is that we will focus on our commercial bank's business, that is the main focus. And we will just, in a steadily manner, to contribute the domestic business to our growth with the 2 wings. The first one is the BOC's globalization. The second one is about our comprehensive business provision capability. We will play the comparative advantage of BOC to serve our new developmental strategy to have more in-depth development and reform for the future development of BOC. At the same time, we will upgrade our comprehensive model of development. We will have -- we will introduce the more diversified strategies for the future development of BOC. So that is -- the one body is the business within China. That is the main focus. And with the 2 wings, globalization and comprehensive business provision, they are going to support the main development of our main body. That is the commercial business within China. 
 And so this strategy is determined based on our perception towards the international and domestic situation. We'd like to meet the demands of Chinese people for a better life. So we have 7 areas. The first one is the cross-border development. When China expands opening up to a deeper level, we would like to play a better role, in particular, making the -- using our strength of a globalized business provision. And the second one is, what we call, science-based financial development. We will integrate it into our national development strategy to support the upgrading of manufacturing industry. The third one is the inclusive financing development. We will try to help those small and medium-sized enterprises, resolve their access to finance and also to make financing for them more affordable. 
 The fourth one is about the neutrality -- carbon neutrality and carbon-picking strategy. We will step into a greener transformation and developmental road. The fifth one is to enhance our wealth financing. We will try to provide more financial products to cater for the household needs and people's demand when we set into the new year. The sixth one is the consumption-based financing. We will try to meet the demands of the upgrading of the consumption of consumers. We will have more -- serve the high-quality domestic market. The seventh one is to meet the demands of county-based development. You may ask what's the link between BOC as a national big bank with the county-level development. So I'd like to give you an introduction of one of our subsidiaries, which has more than 120 branches in -- at the county level. 
 So we have the basic structure of the county-level financial service provision. BOC will participate actively into the county-level and rural development. In particular, we'd like to help those -- the vitalization strategy of the rural China. And in particular, in recent years, we worked with some of the organizations which focus on the rural development, agriculture development and Big Data development. There are also high-tech companies. So we want to connect our financial service with the Big Data produced by those -- the high-tech companies and then to support the development of the rural China and also the county-level villages. So these are the 7 major area for us to develop in the future. 
 If you are asking about the main strategy, there are 2. The first one is the digitalization transformation. The second one is risk management. Now we are now setting into the digital era. During the 14th Five-Year Plan, BOC will -- based on our structure and framework and also sticking to our national strategy of one body, two wings, we will just try to support the digitalization transformation as well as the risk prevention. And we will use the cloud computing strategy as well as the blockchain technologies to provide better products and to share our products. And we will have the optimization of our products. And also, we will try to reduce the burden of the staff who are working for BOC. 
 Now we are facing the meta change of the world. BOC is also facing great challenge. So as for the second strategy, that is to enhance our overall risk-management control, during the 14th Five-Year Plan, we will stick to baseline-based management mindset. We try to -- we will avoid the big-risk events, and we will use information to improve the enterprise-based risk management control. And we will try to enhance our capacity to address the risk in the future. And also, we will try to improve our capacity and prevention and resolution of the major risk events. In particular, in today's world, we are facing more complicated international economic and social situation, and BOC will stick to our principle. And we have the salient feature of the globalized bank. And so we will just control the risk in these kind of areas, as I mentioned. And also, these are the major tasks for us. 
 Talking about the digitalization-based risk management. We will use the FinTech technology to build our risk-prevention framework and to enhance BOC's compatibility. I hope I answered your question. Thank you. 
Operator: So the second [indiscernible], please, the floor is yours. 
Unknown Analyst: I'm from Citi Securities. I'm the analyst. I have a question about the lending policy. I'd like to ask you the question. In 2020, BOC has good growth of the lending business and to support our real economic development. I'd like to ask you about the 2020 lending business. And also, 2021 has witnessed the continuous recovery of the economy. I'd like to know about your plan for the corporate financing needs, and how do you manage the scale and pace of the lending business of BOC for 2021? 
Feiqi Mei: Thank you very much. This is a very professional question. I'd like to give the floor to Mr. Lin to give you the answer. Please, Mr. Lin. The floor is yours. 
Jingzhen Lin: Thank you. Thank you for your question. 2020, BOC implement the strategy set by our central government and State Council. We stick to the new developmental idea. And also, we try to, in a steady manner, improve our business operation. And also, we stick to the supply size reform as a major base for our implementation of the strategy to support the prevention of COVID-19 as well as the recovery of the economy and trying to serve the real economy. 
 Domestically, last year, we have witnessed RMB 1.2039 trillion of the domestic loans, and that is the historical high. And also, we have RMB 153.7 billion increase, up 11.99%. The major area for the lending business has give us -- optimized the structure of the credit. 
 And the second one is to try to win this battle against the COVID-19. In an overall manner, we try to support the prevention control of COVID-19 as well as the recovery, and we implement the special lending for the people who participated in the combating of COVID-19. The overall lending, which is RMB 21.2 billion, will provide loans to 844 key enterprises for the COVID-19 prevention and control. And also, we provide CNY 11.693 billion preference loans to more than 485 local COVID-19 prevention key enterprises. We also make full use of this RMB 200 billion special loans to support the prevention and control of COVID-19. We also ensure the enterprises the stable operation. And also, we provide contingency service for the enterprises and branches in Hubei Province and other overseas branches. We also implement 13 measures to stabilize our trade-related business operation. And also, we have provided RMB 385 billion trade finance to support the CIC and also other exhibitions implementation. And we have also developed some new innovation for the product provision to facilitate the lending and borrowing of the enterprises. 
 We also try to support the supply size reform. We support the private enterprises development. Compared with the previous years, the private enterprises lending, the balance reaches RMB 125.7 billion, and we try to support the high-end enterprise development. Compared with last year, the balance has increased by RMB 117.9 billion. And we also support, what we quote, the 2 new and one major enterprise development. Compared with the previous years, the balance increased by RMB 248.8 billion. We also support the poverty alleviation battle for the -- the balance has been increased by 26.61% compared with the previous years. We actively implement green lending development, and we try to support the silver economy-based financing, try to support the aging population, support program financing. And also, we have supported our Winter Olympic game financing needs. And we have built our BOC brand in the support of these activities and campaigns. 
 Thirdly, we support the major area strategic development to support integrated development of Beijing, Tianjing and Hubie province by signing the comprehensive strategic collaborative agreements with the local governments. And we have also established the village-based banks by selecting Xiongan New Area as the first location for that. We support integrated development of Yangtze River Delta area. We also support development of Hong Kong-Macau and Guangdong Greater Bay development to support the demonstration area in Shenzen with Chinese socialist characteristics. We support the construction of freight trade port in Hainan Province. And we give our support to the comprehensive financial service plan for support -- to support the freight trade port construction in Hainan Province. 
 Number four, to give play our most advantageous businesses, and we try to stabilize our overseas business and to guarantee balanced asset and liability development. We strengthened the overseas management, improved the global customer service system, consolidate structural finance service. 
 And number five is to support the small and micro-sized enterprises. We try to intensify evaluation and guarantee resource allocation to guide domestic institutions to improve the proportion of inclusive finance business. We try to optimize the credit structure by utilizing Internet Big Data technology. We launched the online finance product, a kind of inclusive financial credit type of credit online, which is targeted at small and micro-sized businesses. We also try to apply science and technology and try to give our support to scientific and technological enterprises. We try to replicate and promote the FinTech model represented by ZhongGuanCun model and to provide capital support for the small, medium-sized scientific, technological and  innovative enterprises. And we have organized matching activities, altogether 11 cross-border matching activities for the medium-sized and micro-sized [indiscernible] innovative enterprises. 
 Early 2021, given the seasonal requirement and economic recovery, the corporate loan requirement has been increasing. And the enterprise and credit projects are mainly concentrated in our transportation infrastructure and manufacture, and  the quality of the project are pretty good. And we also focus on optimization adjustment of credit structure. We give our support to major areas. We try to promote regional collaboration in these projects, and we try to support those emerging industries and manufacture sector by relying on science, technology and innovation. We try to rejuvenate urban -- rural development by using comprehensive operational services and by digging some green credit businesses. 
Feiqi Mei: Thank you very much for your response. Very comprehensive and insightful. 
Unknown Analyst: I'm from [indiscernible]. And my question is related to the personal finance. We have a lot of reforms in personal finance [indiscernible] and developmental models have been [indiscernible]. What -- how effective is all this [indiscernible] personal finance? What is the strategic position and the target for personal finance in our group, and what business areas need to be paid attention to and looked forward to by the market? 
Feiqi Mei: Yes. This is a very good question. Investors, analysts and media friends pay a lot of attention to personal finance business. They pay more attention to them than our customers. Mr. Zhang, the Vice President of BOC, is going to answer this question. 
Jinliang Zhang: Thank you very much for your question. 2020 is the first complete operational year after the launch of the reform for our personal finance business. We bring into full play our organizational reform, and we have fully optimized our organizational structure, operational mindset, development model as well as operational indexes. So good result has been restored. 
 Number one, the size is growing rapidly, hitting historical high. The overall personal accounts number reached 477 million. And there are altogether 300 million accounts of -- personal active accounts. At group level, the overall financial asset size of personal account exceeded CNY 10 trillion, up 9.9%. And personal credit business size exceeded by CNY 5.58 trillion, up 10.6%. 
 The efficiency has been very obvious. The operational revenue of personal financing business at a group level increased by 18.66%, contributing 5% more to the revenue of the group. And the domestic commercial bank's revenue proportions reached [ 46.55% ], contributing 7% more. And personal finance business profit growth rate stood at 22%, contributing 9% year-on-year. And the financial management revenue grew by 42%. And the high -- and mid and customers grow faster than that of the basic customers, and private banking customers and the financial customers grow by more than 15%. [indiscernible] is the digital transformation has been accelerated. We have altogether 211 million mobile banking accounts with transaction value reaching about CNY 32.28 trillion. 
 The mobile banking accounts takes up more than 66% of valid personal accounts. And we have a closed-loop eco service system connecting [indiscernible] and the customer. We have set up [ 106 ] scenarios. We have an online smart marketing management platform in place. We have a smart marketing platform. We have closed-loop database -- big database marketing system. We have smart calling, smart customer service. We have our wealth management assistance, which has been widely applied to our business. 
 We have a very important product, that is a BOC smart investment. This is a very interesting, very important product. Everything has been launched to the market. If average yield ratio stood at 34.91%, you can try it. It's a very effective. And we have the e-loan, which has been put online, enjoying faster growth. We have a smart risk-control platform. We have the smart management platform that's relying on these operational management divisions. We have a smart operational platform to realize no manpower involved or less manpower involved business model. 
 Number four, to strengthen the construction of head office and to gradually delegate the power to the branches if needed. In that way, we can have a vertical and horizontal collaborative system between headquarters and the branches to enlarge the cohesion among them.  
 So as the next step, the personal finance business will try to serve the real economy and try to improve it's quality and to bring their comprehensiveness and globalization advantage into full play to be more digitalized, light asset and more professional to make it more strategic. Number one, our personal product -- personal business financing will be more professional to create a value bank, to increase the overall financial asset size, to increase the proportion of investment type of financial asset to optimize the deposit structure. We will also have steady increase of house loans, mortgage loans to accelerate the development of inclusive finance and consumer finance. And we'll give priority to foreign exchange business, and we will also optimize the payment and settlement. 
 Number two is to -- is the digitalization and to create a smart banking, to provide the professional product service and to have a more precise marketing capabilities, to make our back office highly efficient and to strengthen smart risk control. 
 Number three is to open even wider and to have a platform of banking business to make our business and services interconnected, to have our channel resources integrated and to open up our proprietary channel platform, to set up a scenario economy ecology and to integrate and protect the resources, and to integrate global resources. 
 Number four is to be more comprehensive. To use the comprehensive operation platform as a way to empower our commercial banking retail business. 
 Number five is to be more globalized and to set up the -- to be the cross-border financial bank's first choice. We will focus on the Macau and Hong Kong as well as some of the South -- Asia Pacific cities and countries. Focus on big private platform construction in Asia Pacific and steadily proceed with overseas personal finance business. We will also try to support the Winter Olympic games in 2020, and to enhance our brand effect as the bank is supporting both Summer and Winter Olympic games. 
Feiqi Mei: Well, this is a very good question. It is of common interest, not only for investors, but also for customers, media friends. And you're warmly welcome to open your accounts at our outlet and to enjoy the passion and good service of BOC. 
Unknown Analyst: I'm from Insurance Company. My question is, is that in 2020, the asset quality and asset cost has suffered some fluctuations. With the recovery of the national economy and epidemic has been effectively controlled, I think the pressure on the asset quality has been lightened. So would you please all estimate the future trend of all these indicators? What about the quality and the credit cost for this year? And what are the potential risks? 
Feiqi Mei: Thank you for your question. I guess you really know the risk business very well, every time you ask the risk-related question. Also a very good and a typical question. So I will ask our Vice President Zhang to answer that. 
Jinliang Zhang: Yes. Thank you to friends from Sunshine Insurance company. Yes, in year 2020, because of the pandemic, BOC's NPLs increased by a little bit, especially NPLs from the overseas countries. The NPL's significant [indiscernible]. Then for the domestic new NPLs, from real estate, manufacturing, wholesaling and [indiscernible]. And for the overseas NPLs, they came from real estate, aviation and petrochemicals. 
 Then for the Chinese economy, there already has been recovery, and the BOC has done a great job in terms of the collection and the disbursal. So in the last quarter last year already, our asset quality had a marginal improvement, and NPL ratio and NPL balance went down as compared with the third quarter. By the end of last year, our NPL balance was around CNY 207.273 billion, up by CNY 29.038 billion. That's down by CNY 4.154 billion compared with Q3. NPL ratio, 1.46%, up by 0.09 percentage points over the end of 2019 but down by 0.02 percentage points over Q3. 
 And so for the special-mention loans balance, it was CNY 264.594 billion, down by CNY 24.72 billion. Special-mentions proportion was 1.87%, down by 0.35 percentage points. And also, the difference between overdue and NPLs was still negative. And so the provisioning was sufficient. And so the provision coverage ratio was 177.84%. 
 Looking into the year 2021 with a sufficient provisioning and a risk management capability and with the recovery of the Chinese economy, we believe our long asset risk is controlled. But as the management policy is actually tightening up. And we also need to withdraw from those unfavorable policies that affected the small businesses, the delayed impacts of the pandemic, there will still be some pressure upon our asset quality, especially in the following. 
 First, for those clients for whom we have offered a grace period from paying in principal and the interest, some still have difficulties in their business development. So maybe they will happily pay. And so also, some local governments, they also have budget difficulties. So for the local government debt and also local SOE debt and regional risks that we should pay attention to that. 
 The export companies and also private companies had weak links of their supply chain. They might be squeezed by the up and midstreams, and their profits might be in trouble. In some European countries, maybe they are having a third wave of the pandemic. And also, globally, there are still uncertainties of the global economy. So BOC overseas loans, we have many [indiscernible] due to the external environment. There is still some pressure upon the asset quality for overseas branches. But I don't think we're going to repeat the story last year, that's -- we will not have [indiscernible] increase of the overseas NPLs. 
 Then by the end of the last year, BOC offered delayed payments of principal of CNY 140 billion to small and micro businesses and to enterprise-level international value chain. And so the grace period delayed interest payments was CNY 4.9 billion. And at the same time, we also have better carryout at multiple rounds of risk premium of those businesses affected by the pandemic. Currently, for the clients receiving the grace periods of paying interest or principal money, the risk is still controllable.
 For the new year, we will, on the one hand, make use of the beginning of the 14th Five-Year Plan for real estate, expensive capacities and local government-related business sectors, they are key of our risk warning. And also, we will have better monitoring and alert against risks. And so we will also strengthen collection and the disposal of the overdues and NPLs. And we will also increase the efficiency and the effectiveness of NPL disposal and recollection. BOC has a diversified and a lot of clients. So we will make more use of the restructuring of the debt. We would dynamically and conservatively assess the risk, and we will also increase provisions. 
 Fifthly, we will also have more digital transformation over the [indiscernible]. So that will be more sensitive and more speedy reacting to the risks. So upon the whole, by taking these measures, BOC will take a packeted approach to credit risks. And we have a differentiated policies for a different levels of risks and the different categories of risk assets. We believe our asset quality, credit quality in this year will be stable while turning for the better. Thank you. 
Liu Jin: Maybe can I cut in, Mr. Mei? 
Feiqi Mei: Yes. 
Liu Jin: Thank you. 
Feiqi Mei: Our new President would like to have some additional comments. 
Liu Jin: Just now VP, Zhang, already gave you a review of the asset quality last year, and he also look forward to the future. I can have some follow-up comments. As the Chairperson has introduced, I have just been to BOC for 1 month and the new President. Maybe from the media, you already know where I worked before. Actually, I have worked for multiple financial organizations in the past years and I often deal with NPLs and asset quality management. So I think I also have a lot of experience. 
 For a commercial bank, the core business is credit. And the management of credit is the same as the management of the risk. As long as you offer loans to someone, you will have risks. But most importantly, for the industries, for the clients, for the default capability, we should have a good analysis so that NPLs are still controlled within a reasonable range. At the same time, we shall also continue to innovate and upgrade. 
 So in this process, as a commercial bank, we must comply with the regulatory requirements. We must comply with the country's fiscal and management policies. We must comply with the laws and regulations. And we should also run through the necessary legal procedure and formalities. In fact, in this way, the timetable of running through some legal procedures and the formalities is beyond our control, and there could be some seasonal or cyclical volatilities of our NPLs or NPL ratio, that sometimes the NPL numbers look too high, not very good. But as long as there's still control, so within a reasonable range, I don't think the market should be excessively worried. I don't think some cyclical or seasonal volatilities of the NPLs will be very detrimental to the long-term development prospect of our bank.
 Then what is the reasonable range? I think if you look at our check and records, if you also look at the NPL numbers of our peer banks, you already have the answer in your heart. Especially for BOC, we are a state-owned controlling bank. If you look at our shareholder structure, if you look at the resumes of the management team, I think you should feel confident that the BOC is not likely to have a systematic risk repeating, just announced at the end of last year, our NPL ratio, in -- both NPL ratio and the balance increased as compared with the end of 2019, but it went down as compared with the Q3. But in Q4, we already made improvements. It was 1.46% of NPL ratio at the end of last year. The balance also increased.
 But ladies and gentlemen, in Q1, BOC has intensified the disposal of the NPLs. From the second half of last year, we already began to take some additional risk management control measures which are not effective. So in terms of NPL ratio and NPL balance, both I think will continue to go down this year. In Q1, there might even be some significant reductions, for example, by 1 or even 2 percentage points. That doesn't mean that everything is okay and we don't need to worry. Not necessarily. When the economy is still recovering from the pandemic, there were still some localized risks and uncertainties. These localized risks and uncertainties might 1 day still spur up our NPL numbers, so there might be volatility. So it's fully normal.
 Ladies and gentlemen, in the new year, as VP Chen already has introduced to you, what will we do? On the one hand, BOC will continue to intensify the disposal of the NPLs according to the regulatory requirements. We will make a full use of the government policies for NPLs. We will also innovate in terms of modalities for the bank transfer. And also single [CLI ] NPL transfer, we will do a better job. That will intensify the disposal of NPLs, resolution of NPLs.
 Second, we will intensify the monitoring of the potential risky clients, especially those in real estate and especially in Asia as they're heavily affected by the pandemic. We will regularly update about the situation. And therefore, the small and the micro businesses affected by the pandemic, we will also intensify monetary. We will also keep an eye upon the pandemic situation in other countries to do a better job of the management of the NPL balance. 
 During the pandemic, the government allowed a grace period of paying principal and increase from the affected businesses. And that policy will be effective until the end of 2021. Actually, there is an opportunity for BOC. Well, of course, it doesn't mean that certainly the risks are all gone as you have a normal virus. At the end of the 2021, maybe some small other micro businesses are unwilling or still unable to repay principals or repay interest in that way. They still represent a risk to us. According to the regulatory requirements, we will be prepared in advance that before the end of 2021, so we can swiftly handle the risks. So I make the additional remarks so that for our NPLs, especially NPL ratio, you should have a more balanced interpretation. Otherwise, sometimes some exaggerated reports might do damage to market sentiments.
 As we all know, for NPL balance and NPL ratio, they always are moving, changing. But every year from our investors or from our analysts, well, from January 1 to December 31, you all want a flat line or always a declining curve of those numbers. No, they're not always going to remain flat. They are not going to go down always. So -- but we will do our homework, we will do a better job of risk prevention management control. So dear friends, please give us more understanding and also give us more objective analysis and interpretation. And it's our company's responsibility to stabilize the market confidence. 
Feiqi Mei: Yes, many thanks to President Liu. He answered from off the cuff. So we could see that as our friends make very good questions, our management team also gives very good answers. It shows BOC is so sincere to investors, analysts and to media friends. We are very openminded. So much for this session of the Q&A with investors and analysts. According to regulatory requirements, our press release -- actually before the press release, we also provided conveniences to the small investors taking part in our meeting. Some investors also send e-mails to us, asking for important questions and some even with very good business proposals to us. And upon our mobile phone banking, live streaming, Zoom and chat rooms, some friends are making -- asking very good questions.
 So ladies and gentlemen, I think our President Liu's introduction of last year's results and for the previous round of Q&As, a lot of the small investors questions already are well addressed. But here, I need to explain one more thing. It's very important. The Board today already approved our 2020 profit distribution plan. This is for 10 shares deal will be a pretax profit distribution of CNY 1.97 to common shareholders. So the ratio of the dividend distribution is 30% per 10 shares, and we have CNY 0.06 increase, up 3.14%, providing very good dividend return for the shareholders. And as for the plan for the distribution, after the approval of this, we will implement this plan.
 In the recent years, BOC has steady development, and we also have higher dividend distribution level. So I hope you actively invest in your company. Due to the time limit, I close the part I moderate. Next, I'd like to invite new speaker, Mr.  [ Zhao Jie ] Director of the BOC Office to moderate the next session, please. Mr. [ Zhao ], the floor is yours. 
Unknown Executive: Thank you, Mr. Mei. My dear friends from media, investors, analysts, good afternoon. I'm the new speaker as well as the Office Chief of BOC. I'm very glad to use this online style and to discuss with you, through this, our annual release of the financial reports. And I also would like to extend my thanks to the friends from China and also from the international viewers to thank you for your support.
 Now let's come to the Q&A session. [Operator Instructions] So I'd like to invite our first speaker from the media, please. Okay, now you can ask your question. Thank you. 
Unknown Analyst: [indiscernible] My question is about our business strategy. You mentioned there's one body two wings, apart from the traditional business, you are also going to develop the comprehensive which is at a very important position. [indiscernible] for the promotion of the comprehensive business development in BOC? And is that part going to be the growth point business strategy? 
Unknown Executive: We know one body two wings are the major strategy for BOC during the past year, which is quite memorable for our people. We actually have great achievements for our one-body-two-wings strategy, in particular, for the comprehensive business development of BOC. So now I'd like to give the floor to VP Wang Wei to give you the answer. 
Wei Wang: Thank you for your question. And thank you very much for your care about the business of BOC. BOC tried to build this the one-body-two-wings strategy as our future strategic plan, which is focused on the domestic commercial bank business as well as the globalized and comprehensive business development. I should say 2020 has witnessed the increase of quality as well as the efficiency of our operation in BOC. And in terms of the operating revenue, it is CNY 59.55 billion, [ 16.11 ] up compare of the previous years, which is also faster than the group revenue operating revenue.
 And thanks to the following strategy, the first one is our comprehensive business distribution. Last year, BOC financing leasing in Chongqing has been registered and established. That is our very first financing leasing company of the big commercial banks in China in the western area. And also, we have the BOC Fullerton Community Bank, which opened in Qianjiang area. That is also the first batch of banks which is belonging to the community bank, and it also starts our investment management business. And also Fullerton Community bank is the first bank -- first investment-oriented bank at the community level. And also, we have the Amundi BOC listed in the Shanghai Newport area. That is the very first joint venture wealth management company. And last year, BOC securities got listed successfully. And we also played the leading role for China's national grain development plans. Meaning, BOC has established our comprehensive business covering the credit market, currency market, and also, we try to support the economic development.
 The second one is that we built this management framework for the comprehensive business development. We first established our leader group for the comprehensive business operation. We also have the coordinating committee mechanism. We have implemented a series of measures to support this comprehensive business operating group. Actually, we have the full grade 8 pillar strategy to support the comprehensive business operation in BOC.
 The third one is we improve our corporate governance efficiency. We have established this long-term governance mechanism, and we optimize the Board of Directors Committee as well as the Supervisory Committees and we try to improve their efficiency of management. And we also have the incentive mechanisms to support and motivate the Board of Directors as well as the committee members of the Supervisory Committee to promote the management of our business. And we also try to implement the regulatory requirements to have a steady development.
 The fourth one is to try to implement our business coordinating system. And we have established more than 40 joint mechanism for the management in more than 40 banks in China. And we have many different methods to support the implementation of major projects. And in Shenzhen, we also try to see the new business model, combining the investment and lending business.
 In 2021, we will play the better role of this comprehensive business operating, try to realize high-quality development, becoming the value creator of the group as well as the pioneer for new function of BOC in terms of the supply of financial services as well as the explorer for the mechanism for the better mechanism to support our business development. And also, we try to meet the demands of the diversified comprehensive financial demands. We will try to deepen our supply side reform, try to enrich our products to make it more diversified and also to develop this multi-tier capital market and to improve the direct investment ratio, thus to provide the strategic opportunities for the group's comprehensive business development. We shall also serve the wary economies of the people's calling for better life demand as well as the serving the BOC's group strategy for a comprehensive development.
 The second one is that we will have a clearer position to our profit contribution as a very important component of the one-body-two-wing strategy. We will try to deepening and clarify our position during the 14th 5-year plan. We will have a clear goal and we will have also a comprehensive supporting systems to impact our goal of comprehensive business development to make our development and growth high quality, and also to try to have a differentiated competitive advantage and to try to support the new economic development in China.
 The third one is to make use of this new development structure to realign our high-quality development, facing these new opportunities proposed by our domestic and international circulation. We will focus on our 14th development plan as well as developing our major tasks for BOC. For example, we will make better use of the BOC function financing Fullerton Community Bank as well as other investment banking license to have a better development and also to have better development in the fintech and inclusive financing, green financing and cross-border financing. Thank you.
 Now let's welcome the next journalist. You may ask your question directly. Thank you. 
Unknown Analyst: My name is [indiscernible] I would like to ask a question about the globalization. I know that BOC is the -- has a very high level of group [indiscernible] business operator, so I would like to ask you what is your view about the globalization in the future, in particular, with China's high-quality open market policy, how do you improve the quality of your operation, not in the overseas market and consolidating your core competitiveness? 
Unknown Executive: Yes. With this new structure of globalization, BOC has the very advanced development of globalize the business. And next, I'd like to give the floor to Mr. [ Chan Wai ], Vice President, to answer your question because Mr. [ Chan Wai ] has worked in the overseas branches in the past. So I'd like to give us floor to Mr. [ Chan ], please. 
Unknown Executive: Thank you for your question. I should say, currently, we are facing a mega change of the world situation. We have the momentum of globalization. We have the changes of the global governance rules and also the way of cooperation. But generally speaking, we are still in this mega trend of globalization. We are still facing a lot of new talent and opportunities because of this globalization. For Chinese economy, it's developed quite steadily and with a positive trend for future development. And also in the long run, we have this positive development. As predicted for a long run, China will become the major economy experiencing the fastest economic growth.
 With this new circulation, international circulation and also the domestic circulation reinforcing with each other, we will have this high-quality development. Meaning, we will focus on the -- what we call the high-quality introducing and high-quality going global strategy for our customers. We have, for example, Greater Bay area freight trade zones and freight trade port areas. So we will try to provide more services for the facilitation of the opening accounts services as well as expanding our financial two-direction opening and try to build these market to facilitate the domestic and international customers.
 At the same time, we will build this new mutually benefit cooperation relationship based on Chinese RMB as the RMB internationalization process. And also, this is our new opportunities. And also, we are going to participate in this RCEP as well as the CAI international cooperation to expand our business arena for BOC in the future.
 BOC started our cross-border business quite early. We have more than 100-year development position. And also overseas business accounts a very high percentage of the group's business. And now we have covered 62 countries and regions with our business. And also in the major business areas, for example, syndicated lending, the underwriting of the bond, we have relative competitive advantage. And also in the Asian Pacific region and syndicated business development, we ranked #1 for 15 years.
 So with the globalization process, we are stepping into the new era of our development. During the 14th 5-year plan, China -- BOC will show that our global bank corporate responsibility and focusing on Chinese main market, we will serve this 2 new circulation strategy and structure. And we will serve our customers' global demands of fair business development. And we will implement our one-body-two-wings group strategy.
 The third one is that we will try to develop our overseas bank's governance foundation. We will try to facilitate differentiated operation and try to build the regional center for the development. And we also will have the tailor-made management methods for the overseas branches and determine their goal for their operation.
 The fourth one is to enhance the risk management and risk prevention. Number five is to stick to the high-quality development momentum, try to improve the quality and efficiency of overseas operating. And also to -- in terms of the allocation of resources, we will invest more into those low-risk area and also in the area with high return of investment. And we will also maintain the global life of the business in terms of accounts for the business of the group. 
Unknown Analyst: [indiscernible] and in fact, if business development achievement, profitability, efficacy enhancement and financial risk prevention and control, what are the priorities? And what is your plan in the future? 
Unknown Executive: Yes, you're right, we've been paying a lot of attention to the continuous investment in infrastructure of science and technology, relying a lot on science and technology and the digital transformation. I would like to invite the Chief Information Officer, Mr. Liu Qiuwan to respond to your question. 
Qiuwan Liu: Thank you very much for your question. And also I will give my thanks to our media friends for your concern about the scientific technological development applications in our bank. In 2020, BOC has unswervingly proceeded with a scientific and technological innovation strategy, and our infrastructure has been in-house a lot. Our capability of innovation for science and technology has been improved. And we have been working hard on such openness and innovative agility, which are the futures of digital banking. And we have fully demonstrated our capability for scientific innovation of the past year when the epidemic broke out, particularly overseas.
 Number one, scientific innovation transformation has been facilitated. We have dressed up the BOC fintech cooperation and had office-level innovation research and development phase to explore the scientific methods for new models for protecting innovation. In Singapore, we have our innovation R&D center. Well, in [indiscernible] in Suzhou and other domestic cities, we have established our innovation R&D center. So we have had an overall layout of the innovation by relying on science and technology. In China, we have set up new technology laboratories. And we have explored the collaboration among industries, universities, R&D institute and innovative enterprises. So our capability of innovations for science and technology has been improving a lot. And a number of the patent that we've applied annually has increased year-on-year, leading the industry in terms of the amount of the patents as well as the number of the application of the patents.
 Number two is that we are proceeding with technical structure. Well, after transformation, we have completed the layout of infrastructure in Beijing, Shanghai, [indiscernible]. And in Mongolia, we have our production center. And also the off-site disaster recovery and also distributed cloud and infrastructure. We have tried [ SMV6 ], the backbone [indiscernible] and this is the -- a good example for our international -- financial peers domestically. And we have constructed [ IES ] as well as a container platform among other technologies and platforms in the Mongolia and Hufei cloud center. And we are setting up a platform for application of these new technologies. And we are exploring application of SaaS, and we are developing the application sharing these new emerging areas, including the blockchain, the artificial intelligence, internet of things as well as 5G.
 Number three is continuous development and empowerment by science and technology. We have digital live service delivery and collaboration online/off-line channel. We have a data-driven, scientific-supported digital marketing, operating, risk control, prevention services and capability. So this has demonstrated the enhanced digitalization of our business format.
 Number four is inclusive financing, construction, life science and technology, inclusive from finance. We have launched the products, including the BOC e-launch, the application of the loans, the review and approval of the loans, and the repayment of loans could be taking place online. This can help the small-, medium-sized, micro-sized enterprises to cover their production. And we have mobile banking. The fundamental functions have been upgraded. And we have some other structural products relevant to deposits and the corporate loan and the mortgage loan, the credit report investigation, et cetera. 
 Number five, to support and serve the national strategy and to support region's development, we have the big data smart center in the Yangtze River Delta. In Macau, Hong Kong and Guangzhou area, we put forward the short message connect and cross-border wealth management services. As Mr. Lin introduced the enhanced response in freight trade port of Hinan province, BOC took the initiative to formulate its comprehensive finance platform and plan program for the freight trade port of Hinan province support construction of smart Hinan province. And we are going all out on our green and oasis project and supportive engineering to deepen the reform by relying on science and technology to be more innovative by relying on science and technology. Scientific technological innovation is decisive power that will give those people livelihood and welfare.
 Fintech is the new driving force for the supply side financial reform. This year represents the beginning year of 14th 5-year plan. You see it fully embrace fintech. According to our new fintech investment plan, our strategy will be consistent, we will try to activate and to continue our digitalized transformation. Thank you. 
Unknown Executive: Thank you very much for your comprehensive response. The digitalization is a very important measure for increasing our competitiveness global-wide. Already welcome everyone to experience our digitalized products and services. 
Unknown Analyst: [indiscernible] My question is about the carbon-neutral plan. The government report has made arrangements for that, so what is your plan to implement the national green development policy so as to support sustainable development. 
Unknown Executive: Thank you for your question. Well, this is a question for common concern in the international community. The consensus has been made on green finance. [indiscernible] while there are various measures be made for green finance. Now I would like to invite VP for BOC who is in charge of the Green Finance business, Mr. Wang, Wei to respond to your question. 
Wei Wang: Thank you for these questions, which is a quite heated discussed question. BOC is actively implementing national green development concept, always putting or internalizing the green finance, the green concept into our bank operational management and business development and to make our contribution to the achievement of the objective of carbon peak and carbon neutral. By the end of 2020, domestic green credit balance stood at CNY 896.7 billion, a lot of -- well, compared to the same period last year. And our credit balance in coal and coal -- thermal power decreased continuously. And in 2020, BOC issued a bond, the blue bond, combining 3 billion worth of RMB and 500 million dollar-denominated bond. This is the first of this kind in the world. In 2020, BOC underwrote the green bond issuance worth of CNY 14.587 billion, ranking the first among commercial banks. And in 2021, we issued the first carbon neutral bond to support the [indiscernible] international as well as other investment in the operation.
 And also, BOC as one of the founding partners participated in the establishment of Green Financial Center in Singapore. BOC, together with Beijing Green Finance Sustainable Development Research Institute and the [indiscernible] city municipal government jointly signed the collaborative agreement on setting up the green financial college framework. And early this year, BOC has the supported agency for TCFD, has actively participated in the pilot work about the information disclosure pilot in close partnership with green bond standardization committee and China, Great Britain Financial Institute. And we've also been involved in sustainable financial work group as well as IPSF sustainable financial platform related to work.
 We will continue to improve the top-level design of green finance and increase the proportion of green finance business in our total business and try to help accelerate the achievements of the objective of carbon neutral, carbon peak. We will try to expand our advantages in delivering green finance business.
 We also will work out the incentives and some policies and try to accelerate and intensify cooperation in the international arena to improve the information disclosure system to change the green finance, a new name part of BOC to make BOC the green finance service provider the first choice. 
Unknown Executive: Thanks to VP Wei. Originally, we should conclude at 6:30, but our friends have asked so many questions. So I think maybe we can allow for one more question. We can allow now for the last question. 
Unknown Analyst: [indiscernible] My question is about CSR, corporate social responsibility [indiscernible] economy. Last year, BOC bank did a lot of work in terms of [indiscernible] for the sustainable development. How do you balance it? 
Unknown Executive: Thank you. I have got your question. So your question -- in fact, you have asked a series of questions covering, in fact, multiple areas of BOC's strategy. Since it's a comprehensive question, I think as a spokesperson, I shall ask, again, our President [indiscernible] to answer it. Thank you. 
Unknown Executive: Yes. Thank you for your question. Your question, in fact, allows BOC again to highlight what we have achieved and also, again, to express our willpower. I think your question maybe has 2 aspects. First, in terms of helping to improve people's livelihood, in terms of poverty alleviation, what has to be achieved? And second, what will be the next step of poverty alleviation? What will be the BOC strategy for revitalizing rural areas?
 For the second question, it's still about the CSR and how we can balance the CSR with our own demand for high-quality sustainable development. I try to answer in the following dimensions. Yes, last year was quite extraordinary. It was the outbreak of the COVID-19 pandemic, and there have been significant changes at home and abroad. So all these changes pose a great challenge. BOC has always adhered to our CSR and has provided financial products and services responding to the new situation as we are a major space-bound bank. There are 3 aspects: first, about improving livelihoods, about sustainability development and about poverty alleviation.
 In terms of improving people's livelihood, there are 2 aspects. After the outbreak, BOC swiftly responded and commenced our antipandemic program. So as to save the health and the safety of employees and the clients and safeguard the recovery of our business, our domestic and overseas branches helped each other and altogether supported more than 10 million pieces of good and products for the purpose of pandemic prevention and control to 57 countries and the regions. BOC also has provided favorable loans of CNY 32.9 billion to more than 1,000 national enterprises and the local enterprises affected by the pandemic.
 In terms of inclusive financing, we continue to provide precision-based services to small and micro enterprises. We reduced or even waived some fees and the charges from them. We also offer more favorable loans to them. And also, we continue to optimize BOC global SME cross-border business management system. We have already organized the 72 million cross-border business management events, attracting around 30,000 businesses from 125 countries and regions. And also for the BOC Fullerton Community Bank, it already has established 126 village banks and 180 township banks in 22 provinces and municipalities in the country. 65% of them are located in the more underserved mid-western region of the country. So it already is the community bank in China with the largest number of branches and which is also most widely distributed. Already, my colleague introduced to you the BOC endeavor in terms of green financing.
 In addition, in terms of green development and sustainable development, BOC actually has done a lot of other work and also has institutionalized the green finance work. For example, under the participatory areas, BOC is the leading group of green finance and industry planning development and Chairman is head of the group. And under the management team, there is the green finance management committee and the Board also regularly reviews green finance developments. I've, although just 1 month as BOC head, been to 2 of the green finance-related meetings. It's not only about how BOC can better understand and interpret the carbon peaking packing neutrality and the government requirements, rather we already are making plans about how and what we can do. And we are even looking at our list of clients to think to whom we can better provide green financial services.
 And so we all know, BOC has a comprehensive product and services. That is our advantage. So the head office, branches and affiliated companies are connected in this regard, offering multiple forms to support green finance, including equity investments, loans and debt. So once we do a good job in green finance, BOC already is making significant contributions to social and economic sustainable development. At the same time, BOC also takes an active part in the international cooperation of green finance. And we have been carrying the Chinese stories.
 Then for poverty alleviation, as a major state-owned bank, definitely, BOC has responsibilities towards poverty alleviation in terms of introducing industrial projects, in terms of providing loans, in terms of stimulating consumption demand. At the end of last year, we had a balance of CNY 148.491 billion for the balance of the poverty alleviation loans, up by 26.61% year-on-year. And last year, we sent 1,184 offices to leaving the poverty-stricken villages to help them. Not long ago, we had a conference whereby this more than 1,000 offices told us their stories, and we were all very impressed and motivated. And BOC also last year helped purchase and discount about CNY 700 million of agricultural products from poor regions. And so we helped provide some grants and to introduce matching farms of CNY 243 million to poverty-stricken areas. We also have introduced industrial projects as we carried out some projects to improve people's livelihoods. We helped the 380 fixed villages in 4 countries in [indiscernible] and we also helped 134 additional villages go out of poverty.
 So on that basis, the next step actually is about rural revitalization. According to the country's overall strategy and requirements, BOC will also better integrate and move in the transition towards the revitalizing rural areas because that is the next step after poverty alleviation, so that poverty alleviation will be consolidated. And we will also make more targeted and relevant measures about revitalizing rural areas. We will provide them more financial and other products and services to those regions which have gone out of poverty, so that they continue to prosper. We will also attract more other investors and supporters. We will also encourage our employees to buy more goods from poverty-stricken areas.
 And about the balance between CSR and our own developments, yes, it's very important, and we should carefully manage the 2. At the beginning of this year, Chairman Liu, Liange made important remarks about how to balance CSR and profitability. As a major state-owned commercial bank, we must undertake our CSR. And also, as the Chinese economy continues to have a high-quality growth, we will also have high-quality growth out of the banking business. If BOC can do even a better job in terms of CSR, if we can even make greater contributions to economic development and to improving people's livelihood, definitely, BOC also will benefit. We will also make a profit from even more business opportunities. That is the foundation of our high-quality continuous developments.
 Most importantly, BOC should innovate in terms of service models, we should make a better use of science and the technology, so our CSR-related efforts also are commercially sustainable. For example, for inclusive financing, previously, a lot of markets was worried about fast growth of inclusive financing loans because historically these loans had higher NPLs and so were not really supported by digitalization and suffered from information asymmetry. But our success in the past 2 years has shown that inclusive finance is not only part of CSR, it's also a very important pathway for commercial banks to transform business models and consolidate client base.
 Last year, during the pandemic, the government required that commercial banks should give more support and -- to the tangible businesses. Maybe you can still record the numbers. And so when commercial banks needed to keep away so many profits to the other parts of the national economy during the pandemic, the market had a sudden worry about whether or not the banks themselves will be sustainable. So profit give away of CNY 150 million. Yes, but -- and MoF also has given us the risk-mitigation policies and also has reduced the bank reserve ratio requirements. And the government also has given a lot of support to banks like BOC. So China is a socialist country with Chinese characteristics. And therefore, our commercial banks also have those Chinese characteristics. Definitely, we will always manage well the balance between CSR and profitability.
 In the next step, we will continue to deepen product and service innovation. To take advantage of new market opportunities, BOC will continue to experiment with a repeatable and sustainable models for CSR, so that we continue to make great values to stakeholders.
 Our business is set to make steady progress. We will continue to push for healthy growth of the business and steady improvement of financial indicators, so shareholders benefit more from our brilliant business results. 
Unknown Executive: Yes, many thanks to President [ Liu ]. Yes, as a major state-owned bank, we already have a history of 109 years. In the past 109 years, BOC has always made our purpose that's contributing to the wider society. I think President Liu has provided a very good answer to the last question.
 Ladies and gentlemen, I think that's the -- actually, today, we are also releasing the BOC 2020 CSR Report. I hope our investors, analysts and the media friends will have a look at it. For the interest of time, so much for the Q&A, many thanks to the media friends, investors and analysts to today's events. We also would like to thank the analyst friends who have watched our press release through online streaming.
 If you would like to ask even more questions, just contact us whenever it can be. Ladies and gentlemen, that's the conclusion of the BOC 2020 Business Results Press Release. Again, many thanks to you for your support and attention to BOC in the beautiful season of spring. On behalf of BOC, I wish everybody good health and success in your own business. Thank you.